Operator: Good morning and welcome to the TrustCo Bank Corp Third Quarter Earnings Call and Webcast. All participants will be in listen-only mode. [Operator Instructions]
 Before proceeding, this presentation may contain forward-looking information about TrustCo Bank NY that is intended to be covered by the Safe Harbor for forward-looking statements provided by the Private Securities Litigation Reform Act of 1995. Actual results and trends could differ materially from those set forth in such statements due to various risks, uncertainties and other factors. Such risks, uncertainties and other factors that could cause actual results and experiences to differ materially from those projected include, but are not limited to the following. Credit risk, the effects of and changes in trade, monetary and fiscal policies and laws, inflation, interest rates, market and monetary fluctuations, competition, the effect of changes in financial services, laws and regulations, real estate and collateral values, changes in accounting policies practices, changes in local market areas and general business and economic trends and the matters described under the heading Risk Factors in our most recent annual reports on Form 10-K and our other securities filings. Statements are valid only as of the date hereof and the company disclaims any obligation to update this information except as may be required by applicable law. Please note this event is being recorded.
 And now, I would like to turn the conference over to Mr. Robert J. McCormick, President and CEO. Mr. McCormick, please go ahead. 
Robert McCormick: Thanks, Keith. Good morning, everyone. As Keith said, I am Rob McCormick, President and CEO of TrustCo Bank. As always joining me in the room are Bob Cushing, our CFO, Scottt Salvador, our Chief Banking Officer and Kevin Timmons who most of you know. We are happy to report solid third quarter earnings here at TrustCo Bank. Our net income for the quarter was $10.3 million, up 5.1% from the same quarter in 2012. Partially driving the rise in earnings was continued loan growth, our average loans were up $214 million or 8.3% year-over-year. The loan growth all occurred in the residential portfolio. Our commercial portfolio has fallen about $5 million year-over-year. This is mostly a result of very aggressive pricing from competitors chasing far too few transactions.
 Our deposits showed continued growth of $118 million to almost $3.9 billion. We also continue to see growth in all the right areas losing the higher price time deposits and growing the core, or lower cost deposits. We continued to maintain a healthy investment portfolio keeping our maturities relatively short. Non-performing loans and assets have improved significantly year-over-year showing $8.2 million and $7.1 million drops respectively. This puts our non-performing loan ratio of 1.47 down from 1.92 last year and our non-performing asset ratio of 1.16 down from 1.36 last year.
 Our loan loss allowance at just under $48 million provides a solid coverage ratio and amounts to about 1.7% of total loans. We have backed down on our provision year-over-year. Our efficiency ratio was improved year-over-year continuing to hang just over 50%. And as we have previously reported, we do see additional opportunity for improvement. We opened one branch office this quarter in Ormond Beach, Florida. This brings our total to 139 offices. Average deposits per branch continued to rise. We continued to maintain an appropriate level of staffing resulting in increase of average assets per employee. Margins expanded over the quarter and we will watch for additional opportunities as they come up and take advantage of them. Again, we are pleased with the good solid quarter.
 Now, I am going to ask Bob Cushing to provide some additional detail on the numbers. 
Bob Cushing: Thank you, Rob. I will review the financial results of TrustCo for the third quarter. The basic story is that we continue during the third quarter with the trends and activities that we began earlier this year. Overall, balance sheet growth was modest. We deployed additional assets into our loan portfolio. We continued to grow core banking relationships, brought down our levels of non-performing assets and adhere to our philosophy of strong expense controls. All of this resulted in net income in the quarter of $10.3 million, an increase of 5.1% over last year’s third quarter net income of $9.8 million.
 Earnings per share came in at a tad under $0.11 per share this year compared to the $0.104 per share last year. Return on equity and return on assets continued strong at 11.6% and 91 basis points respectively for the quarter. Our efficiency ratio continued to decline and was 51.2% for the quarter compared to 53.5% last quarter. Our net interest margin expanded to 3.12% reflecting the loan growth, but still somewhat held back by the large balance overnight investments. Our average cost of funds remains low at 40 basis points, while interest bearing liabilities increased by $21 million to $3.8 billion.
 Asset growth was confined to our loan portfolio, which increased by $70 million during the quarter with the yield on these earning assets decreasing to 4.59%, down 5 basis points during the quarter. Overnight investments continued strong at $551 million for the quarter compared to $530 million last quarter. We continued to believe that the loan portfolio provides us the best opportunity to deploy the funds we have gathered and we are patiently waiting for better opportunities in the securities portfolio.
 As of September 30, 2013 the balance sheet reflects $23 million of unrealized depreciation in our available for sale portfolio that is down slightly from the $24.5 million depreciation at June 30. Deposit balances were affected by some of the seasonality that occurs in this quarter. As mentioned earlier, our total interest bearing liabilities increased by 21 basis points - I am sorry by $21 million and our average cost of funds dropped to 40 basis points. We continue to be very disciplined in our pricing deposits so as to help to ensure that we are attracting core banking customers versus merely transaction accounts.
 Net interest margin was up 2 basis points from the second quarter to 3.12% and contributed to an increase of $550,000 of tax equivalent net interest income for the third quarter over the second quarter of this year. For the remainder of this year and going into 2014, we would expect that any increase in net interest income will come from an expanded balance sheet changing the redeployment of our asset mix and from re-pricing opportunities on our loans and investments. To say it another way, what we would expect any increase in net interest income to be driven by our assets coming in at slightly higher yields.
 Over the next three months we have $142 million of CDs maturing at an average cost of 66 basis points, which if we use today’s renewal rates will drive down that average cost to 61 basis points. We have utilized this strategy in the third quarter and are expected to continue into the fourth quarter of offering relatively attractive CD rates with slightly longer terms in certain regions such as a two year CD at 1%. We think that our balance sheet will benefit by these slightly longer term CDs and that our P&L can afford the uptick in CD costs. For the first quarter of 2014, we have $213 million of CDs maturing with an average cost of 78 basis points that will re-price down by 10 basis points to 66 basis points at today’s rates.
 The second quarter of 2014 has $289 million maturing at 73 basis points and that would re-price at basically the same yield as it is today. And finally, the third quarter of 2014 has $276 million maturing at a cost of 58 basis points that would re-price to 61 basis points at today’s CD rates. So there are some slight opportunities to continue our downward pressure on CD rates, but for the most part that strategy has run its course. Non-interest income was in line with our expectations and prior quarter’s results. There were no security gains this quarter versus the $1.4 million recorded in the second quarter. Non-interest expense came in at $20.7 million this quarter compared to $21.9 million in the second quarter and $20.6 million in the third quarter of 2012. Currently, results are right in line with what have been saying all along.
 Core operating expenses should come in between $20 million and $20.5 million each quarter. If you take out the ORE expense for the quarter of $946,000, our recurring non-interest expense was $19.7 million in this quarter compared to $20.4 million for the second quarter of this year and $19.7 million for the third quarter of last year. In the various categories of non-interest expense it is actually hard for me to pick out any items to highlight. Our expense control systems were all functioning as expected and the results are in line with our expectations for the quarter and the year. For the remainder of this year, we continue to see non-interest expense in these same levels of between $20 million and $20.5 million for the quarter.
 In the area of ORE operations, we have disposed of 83 properties this year which is about the same as in 2012. And we currently have 5 commercial properties and 42 residential properties in our inventory. These are all relatively newer property acquisitions for us and we do not hold on to them for long periods of time. And finally, capital remains strong with the tangible equity, tangible asset ratio of 7.94% at September 30 versus the 7.81% at the end of the second quarter.
 I am going to turn over to Scott now for the loan portfolio review and non-performing loans. 
Scott Salvador: Okay, thanks Bob. Strong growth in our loan portfolio continued for the third quarter with total loans increasing $72.5 million to $2.834 billion. Year-to-date growth now totals $150 million. Residential mortgages were again the driver of this growth with an approximate $74 million quarterly increase. Our home equity credit lines increased by $2.6 million. Commercial loans declined by $4.1 million. The quarter’s $72 million in loan growth was up from the second quarter’s $59 million and last year’s $46 million. Although total volume of loans has lessened on a year-over-year basis due to the decrease of refinance activity, the net growth of $150 million for 2013 is up significantly from $85 million at this point in 2012. The decrease in refinances has slowed payoff levels and we have also benefited from a strong amount of purchase business that we have captured in our markets this year. This transition is illustrated by the fact that for the third quarter of 2012 approximately 75% of our loan originations, excluding home equities were refinances. This past quarter 62% of our business was purchases with only 38% refinance.
 Recent loan activity has been steady and our backlog is good roughly on par with this point in 2012. Loan volumes do typically slow a bit as we get deeper into the fourth quarter and approach the holiday season, but we still anticipate continued growth in the coming months. Asset quality indicators continue to improve across the board in the quarter with non-performing loans decreasing from $43.4 million to $41.7 million and non-performing assets declining to $51.6 million from $53.8 million. Net charge-offs also dropped in the quarter by $700,000, although a portion of this decrease was due to one-time commercial loan recoveries. These improvements follow up on recent trends and we expect that going forward we should continue to gain positive [indiscernible]. At quarter end, non-performing loans are equal to 1.47% of total loans versus 1.96% at year end. The coverage ratio or allowance for loan losses to non-performing loans was 114% at September 30 versus 91% as of December 2012. Rob? 
Robert McCormick: That’s our report for the third quarter and we would be happy to entertain any questions anyone might have, Keith. 
Operator: [Operator Instructions] And the first question comes from Alexander Twerdahl from Sandler O’Neill. 
Alex Twerdahl: First of all, Scott, I was wondering if you could just tell us what kind of rates new loans are coming on today? 
Scott Salvador: Sure, Alex. Currently, right now we are at 4.5 Alex, that’s bounced around a little bit over the last several weeks anywhere between 4.5 to 4.75 is where we have been recently, but as of today we are at 4.5. 
Alex Twerdahl: Okay. And as you look at the distribution rates as you get a little bit further out and what might come off your books relatively soon. Can you talk a little bit about the distribution there of the rates and sort of what’s coming off today, what sort of rates are coming off the balance sheet? 
Bob Cushing: Yes, Alex, it’s Bob Cushing. The refinancing activity as Scott mentioned has slowed down pretty dramatically. And as a result, we are seeing refinancing rate wise is not far from what we are actually bringing loans on back at the books on today. So we are seeing kind of that steepening of the curve that kind of leveling off of the downward pressure on our margin -- around our yield on residential loan portfolio. So I’d say it’s in the 5% range, but not much above 5% in refinancing, so really looks like a lot as a normal principal payments that are occurring and the refinancing is away from us or to us at the lower rate at the 4.5 to 4.75. 
Alex Twerdahl: Okay, great. That’s helpful. And then you gave a little bit of detail on what’s in the OREO bucket, but as a sort of line item that’s a little bit more hard to - little bit harder to predict, can you give us a little bit more sort of talk a little about some of the workings there that as you cure properties, as you get on through your books, what kind of expenses are associated with them? And is it safe - would it be fair to extrapolate 83 properties offloaded in the first nine months, could you extrapolate the expense associated with that to the 47 properties that you have in your inventory right now? 
Bob Cushing: Cost associated with the ORE properties are the normal cost of insurance, maintenance, property taxes, those types of things that we have to maintain on them. When we take possession of a property, we will button it up as far as do a review to see if there was any things that need to be done to it, to stabilize it and to improve it for getting it ready for sale. We don’t want to spend a ton of money in getting these properties ready for sale, but in the other hand, we are not looking for fire sales either. So we will spend some money to either putting some appliances, paint, paper, carpet, that type of thing. As far as expenses going forward, it’s really more affected by the distribution between New York and Florida. The Florida properties early on years ago used to take pretty big hits trying to move those properties. Today, those properties are not difficult to move, they move relatively quickly. The New York properties once we get our hands on them do in fact have some time period associated with disposing of them. So we do in fact then incur the cost associated with property taxes and the rest. Write-downs, we try to be very hard in the write-downs relative to the time period we have in the non-performing loan category. So when you move over to ORE, if we are moving them relatively quickly, the write-downs are pretty light and pretty nominal, because the write-downs have occurred as loans rather than as ORE. On the other hand, if we get a piece of property we have to hold on to it for several quarters. Those properties will have additional write-downs, because we do want to move them along. As far as going forward, we had about $1 million, $1.5 million. Last quarter was probably our top at $1.5 million. We kind of average in that $750,000 to $1 million range and I think the flow of inventory - the flow of inventory would say that’s about the right number. 
Operator: And the next question comes from Travis Lan from KBW. 
Travis Lan: Just staying on credit for a second as credit continues to improve can you just talk a little bit about your outlook for the reserve? 
Bob Cushing: Well, the reserve, Travis, it’s Bob Cushing and the reserve as you know was heavily affected by the model and you have to do relative to the adequacy, the allowance for loan losses and that is influenced by charge-offs. To a great degree, the charge-off history and the non-performing loan portfolio affect the level of the allowance if necessary. Those numbers coming down will have the impact of lowering the required reserves. I would say as Scott brought up though, the third quarter was heavily influenced by that recovery of about $500,000 in that range. So if you look at our charge-offs in the third quarter of about $1.4 million, if you add that back, because that really is though recovery is by the nature non-recurring that one in particular was not one that I would expect I would want to model into them, is the models themselves. So I think that the charge-offs around the $2 million level, $1.8 million, $2 million level on a quarterly basis is what we are looking at. 
Travis Lan: Got it. That’s helpful. And obviously to offset some of the asset yield pressure, you guys have continued to grow loans as a percentage of earning assets, how willing are you to allow that mix shift to continue here? 
Bob Cushing: We always enjoy that 60-40 split between loans and investments. That’s been our philosophy, but as we see the investment opportunities lag and the loan opportunities are available to us, we will shift that around a bit. If you are asking do we have target percentages? No, we don’t do target percentages, but we will let that drift up upwards a bit on the loan portfolio. 
Travis Lan: Without saying that there is targets do you have like kind of the thresholds or a cap where you would be willing to let loans to run as a percentage of that? 
Robert McCormick: There is no form of cap, Travis, no, where opportunity is. 
Travis Lan: Got it. Alright, on the securities side, could you just talk about the moving pieces that there may be in terms of kind of yield and duration of what’s being purchased, I know obviously you said you are waiting for better opportunities, but the securities yield ticked up in the quarter and I just wanted to hear a little bit more? 
Bob Cushing: That really relates to the - little bit of extension in the mortgage-backed securities portfolio. As far as the buy side during the quarter, we did very little on the buy side during the quarter itself. We continue as you know to be very focused on the high quality stuff. We don’t look to - we don’t want lot of stories that we have to pay attention in the securities portfolio, so we are buying. What we do buy is the agency papers themselves. As far as quarter-to-quarter, let me just give you a little flavor on the weighted average life. So the second quarter the weighted average life in the portfolio was about just at five years on the money for 9.30 that came down very slightly to 4.98. So the life itself has pretty much stayed constant during that time period and then modified duration was 4.50 at 6.30 and it’s 4.40 at 9.30. So no big change there either. Going forward, we are looking - rates are up significantly over where they were, but we still see volatility in the securities portfolio. So from that perspective, we like the customer relationships we are building on loan portfolio. So though we will redeploy into the securities portfolio, we are not chomping at the bit at this stage. 
Travis Lan: So when you say that I mean are you managing the securities portfolio, it sounds like you are managing it more to yield than duration. Does that make sense? 
Bob Cushing: Well, we have a five-year our goal is to keep that portfolio under five years from a average life perspective. And as far as the yield is concerned, absolutely this is a portfolio that’s designed to provide additional enhancement to liquidity and yield. 
Operator: Thank you. (Operator Instructions) Alright, there are no more questions at the present time, so if I could turn the call back over to management for any closing remarks. 
Robert McCormick: Thanks for your interest in our company and thanks for taking the time this morning to listen in. Have a great day. 
Operator: Thank you. This concludes our question-and-answer session. The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.